Operator: Good day, ladies and gentlemen. Welcome to the CAE Second Quarter Financial Results for Fiscal Year 2025 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Andrew Arnovitz. Please go ahead, Mr. Arnovitz.
Andrew Arnovitz: Good morning, everyone and thank you for joining us. Before we begin, I'd like to remind you that today's remarks, including management's outlook and answers to questions, contain forward-looking statements. These forward-looking statements represents our expectations as of today, November 13, 2024, and accordingly are subject to change. Such statements are based on assumptions that may not materialize and are subject to risks and uncertainties. Actual results may differ materially and listeners are cautioned not to place undue reliance on these forward-looking statements. A description of the risk factors and assumptions that may affect future results is contained in CAE's annual MD&A available on our corporate website and in our filings with the Canadian Securities Administrators on SEDAR+ and the US Securities and Exchange Commission on EDGAR. With the divestiture of CAE's healthcare business in fiscal 2024, all comparative figures discussed here and our financial results have been reclassified to reflect discontinued operations. On the call with me this morning are Marc Parent, CAE's President and Chief Executive Officer; and Constantino Malatesta, our Interim Chief Financial Officer. Nick Leontidis, CAE's Chief Operating Officer is on hand for the question period with financial analysts. I'm sure you've all seen by now the news release we issued yesterday afternoon that accompanied our Q2 results that after 20 years at CAE, including the last 15 as President and Chief Executive Officer, and after spearheading the making of CAE as a global leader in training for simulation, for civil aviation and defense and security forces, Marc Parent will be leading the company at next year's Annual General Meeting in August 2025 as part of an ongoing succession plan. Until this time, Marc will continue to lead CAE in his role as CEO. The Board of Directors has retained a leading executive search firm to conduct a comprehensive global search, which will include evaluating internal and external candidates to identify a new CEO to lead the company into the future. The Human Resources Committee of the Board will oversee the search process with support and assistance from Marc. On behalf of all of us at CAE, I'd like to say that we're incredibly grateful for Marc's exemplary leadership. His lasting impact on CAE and on the aerospace industry are unanimously recognized and we look forward to continuing to benefit from his leadership until next year's AGM. With that, I will turn the call over to Marc.
Marc Parent: Thank you, Andrew, for those kind words, and good morning to everyone joining us on the call. As Andrew said, today is business as usual and I do want to stay focused on the quarterly results. But this is a big moment for CAE and for me personally, so I'll just take a moment to say that it's been really the privilege of a lifetime to lead this company. I can't tell you how proud I am of what our team has accomplished and I'm very thankful for all the support that I've received throughout the years. Thanks to our extraordinary people at CAE, we can proudly say that over the last couple of decades, we've absolutely reshaped the aerospace industry by creating something that's truly unique. CAE trains more pilots than anyone else in the world by far, and by leveraging technology, we prepared countless people for the moments that matter and fulfilled our mission to make the world safer. This is the right time for a transition process and as our financial performance shows, which we'll get to in just a moment, we're in a solid financial position. Our markets are on a long-term growth trajectory and our competitive position in each of those markets is strong. Our innovative technology and our outstanding people now set the standard for safety and training worldwide and I'm confident that CAE has a very bright future ahead. Now, turning to the business at hand in the second quarter. Our performance in the second quarter reflects strong demand for our civil and defense market solutions and despite some of the challenges we faced in commercial aviation from OEM aircraft supply disruptions, we've achieved solid results. Additionally, we extended our positive trend in Defense this quarter with growth and margin enhancements that are largely attributable to our dedication to focus, customer centricity, and operational excellence across all of CAE's P&Ls, highlighting our strong position in growth markets. We secured nearly $3 billion in total orders this quarter, bringing our adjusted backlog to a record $18 billion, which is up over 50% compared to just over a year ago. In Civil, we delivered 18 full flight simulators to customers during the quarter and our average training center utilization was 70%, a decrease of one percentage point compared to the previous year. This quarter we experienced year-over-year growth in business aviation training, commercial training in Asia-Pacific, and simulator products. However, mainly due to OEM aircraft supply disruptions, US Pilot hiring remained low during the quarter, impacting the incremental pilot training demand we would have expected under more normal conditions. Overall, commercial aviation training utilization was approximately three percentage points lower than last year on average, which is still very good, but it would have been even stronger if not for the temporary pressures on initial training and pilot churn in the Americas. We continue to deliver strong order flow in the quarter in a large secular growth market which CAE's highly differentiated training and flight operations software solutions. We booked $693 million in orders with civil customers worldwide for a 1.08 book-to-sales ratio on revenue that's 12% higher than Q2 of last year. We ended the quarter with a record $6.7 billion total civil adjusted backlog which is up 13% year-over-year. We received orders for 16 full flight simulators in the quarters, including four based on the COMAC C919 airliner, and we signed long-term training services and flight operations solution contracts with commercial and business jet operators worldwide. In Defense, performance continued to track our expectations, driven by strong execution, risk retirement, significant backlog growth, and improving backlog quality. We made excellent progress during the quarter to renew growth and increase margins, including successfully concluding one of the legacy contracts for the backlog and securing a $1.7 billion transformative award under Canada's Future Aircrew Training program. For the quarter, we recorded orders worth $2.3 billion resulting in a 4.6 times book-to-sales ratio, leading to a record $11.4 billion in defense adjusted backlog. This is up approximately 94% year-over-year. Over the past 12 months, the defense books-to-sales ratio was 2.04 times. With that I'll now turn the call over to Dino who provides additional details about our financial performance. Dino?
Constantino Malatesta: Thank you, Marc, and good morning, everyone. Consolidated revenue of $1.14 billion was 8% higher compared to the second quarter last year while adjusted segmented operating income was $149.0 million compared to $135.6 million in the second quarter last year. Our quarterly adjusted EPS was $0.24. That compares to $0.26 in the second quarter last year. We incurred restructuring, integration and acquisition costs of $30.9 million during the quarter. This is comprised of $5.1 million for the now completed integration of AirCentre and $25.8 million in connection with the restructuring program to streamline CAE's operating model and portfolio, optimize our cost structure, and create efficiencies. This restructuring program was also completed in the second quarter and no further restructuring expenses are expected. The conclusion of these programs is beneficial to the company's free cash flow profile going forward. Also, we continue to expect to fully achieve annual run rate cost savings of approximately $20 million by the end of next fiscal year. Net finance expense this quarter amounted to $52.9 million, which is up from $49.5 million in the preceding quarter and $47.1 million in the second quarter last year. This is mainly the result of higher finance expense on lease liabilities in support of training network expansions, partially offset by lower finance expense on long-term debt due to a decreased level of borrowings during the period. Income tax expense this quarter was $10.4 million for an effective tax rate of 16%. The adjusted effective income tax rate was 18%, which is the basis for the adjusted EPS calculation. Net cash from operating activities this quarter was $162.1 million compared to $180.2 million in the second quarter of fiscal 2024. Free cash flow was $140 million compared to $147.4 million in the second quarter last year. The decrease was mainly due to a lower contribution in non-cash working capital. As in previous years, we usually expect a portion of our non-cash working capital in the first half to reverse in the second half. We also continue to target an average 100% conversion of adjusted net income to free cash flow for the year. Capital expenditures totaled $57.0 million this quarter with approximately 65% invested in growth mainly to add capacity to our global training network to deliver on the long-term training contracts in our backlog. We are now expecting total CapEx for fiscal 2025 to be slightly below our previous pre-estimated range which is indicated at $50 million to $100 million higher than the $330 million we invested in fiscal 2024. This change reflects the agility of our investment process and our ability to move in lockstep with the market. Our net debt position at the end of the quarter was approximately $3.1 billion for a net debt to adjusted EBITDA of 3.25 times at the end of the quarter. Before the impact of our legacy contract, net debt to adjusted EBITDA was 2.97 times. Our increased investment in SIMCOM does not change our leverage expectations. We continue to expect to be below three times net debt to adjusted EBITDA by the end of the fiscal year and our deleveraging focus remains the same. During the quarter, CAE repurchased and canceled a total of 392,730 common shares under its normal course issuer bid, NCIB, which began on May 30th, 2024 at a weighted average price of $24.43 per common share for a total consideration of $9.6 million. Now turning to our segmented performance. In Civil, second quarter revenue grew 12% year-over-year to $640.7 million, while adjusted segmented operating income rose 1% to $115.9 million, resulting in an 18.1% margin. With 18 full flight simulators delivered this quarter, we saw a notable shift in revenue mix with a higher proportion from products compared to last year when we delivered 11. Defense revenue rose 4% to $495.9 million, while adjusted segmented operating income rose 55% to $33.1 million, delivering a 6.7% margin right on target, thanks to strong execution from the team. Legacy Contracts remain on track with costs and schedules well managed. As planned, we concluded one Legacy Contract this quarter and on track to finalize another one next quarter with yet another following in the quarter after. This quarter, Legacy Contracts contributed around 30 basis points of margin dilution. Without this impact, the adjusted segment operating income margin for defense would have been 7%. With that, I will ask Marc to discuss the way forward.
Marc Parent: Thanks, Dino. For CAE overall, a key factor driving long-term demand in both our Civil and Defense segments is the high level of demand for pilots and pilot training to manage growth and replace those that are retiring. The outlook for aviation training solutions in Civil is as strong as ever, driven by growth in air travel, the need for more pilots, and a requirement for continuous training to keep up with evolving aviation technologies as well as regulations. Our business is largely supported by the regulated training pilots and crews needs to maintain certification of the global fleet of commercial and business aircraft and this will only compound as the in-service commercial jet fleet roughly doubles within the next two decades. Factors like the aging pilot workforce, mandatory retirements, and sustained growth in air travel solidify our long-term confidence in CAE's future. OEM aircraft supply disruptions, it testified with recent labor disputes, but with that now positively resolved, we believe that the airline industry can now begin to gradually recover from these narrowbody supply challenges, with some relief expected in the coming period as grounded aircraft return to service and new aircraft delivery rates eventually rise. Underscoring the temporary nature of these supplies, Boeing and Airbus have a combined order backlog of nearly 15,000 aircraft, amounting to about a decade's worth of deliveries. With regards to business aviation specifically, I'm thrilled about the agreement announced last week to purchase a majority stake in our SIMCOM joint venture. This strategic organic investment strengthens our position in the core business aviation training market, boosts recurring revenue, and deepens our commitment to delivering top-tier training solutions for a vital customer segment. Under this agreement, both CAE and SIMCOM have also extended our exclusive business aviation training partnerships with Flexjet and its affiliates by an additional five years, securing a 50-year exclusivity period. This long-term agreement functions like an outsourcing agreement with one of the world's premier luxury private jet companies, giving CAE increased exposure to the rapidly growing fractional jet and charter aviation markets. We anticipate that this investment will be accretive to both earnings and free cash flow in our first full year going forward. Regarding our Civil outlook, disruptions in aircraft supply have indeed impacted an incremental portion of the demand that we normally see in our commercial aviation training division. Consequently, we've implemented measures to enhance operational efficiency and mitigate the decrease in training demand. Despite persistently low pilot hiring levels in the United States, training bookings for our third and fourth quarters are higher, reinforcing our expectation for a stronger performance in the latter half of the fiscal year. Additional factors that underlie our expectations for a stronger second half include the seasonal improvements in commercial and business aviation, accretion for our increased investment in SIMCOM, and an uptick in volume and profitability from full flight simulator deliveries. On balance, we're maintaining our target of approximately 10% annual growth in civil adjusted segment's operating income for fiscal 2025 and we continue to expect an annual civil adjusted segment operating income margin to be between 22% and 23% with ample room to grow beyond that on volume efficiencies and mix. In Defense, we're well positioned in a growth market as the sector moves into a prolonged upcycle with increased budgets across NATO and allied nations, rising geopolitical tensions are driving a focus on near-peer threats, defense modernization, and readiness, fueling demand for the training and simulation solutions that we offer. Our expertise spanning civil aviation and defense uniquely equips us to meet these needs. Demand for our training solutions remain strong, driven by a global shortage of uniformed personnel, prompting militaries to partner with CAE to support readiness. By leveraging our position on programs like the Canadian FAcT, we aim to advance multi-domain training in secure synthetic environments across our global network. The foundation is solidly set for renewed growth and margin expansion in our defense Business in the coming periods. We've strengthened our processes, sharpened our strategy, and enhanced our talent to improve efficiency and execution. Meanwhile, we've achieved transformative growth in our backlog of high-quality programs. Our fiscal 2025 defense outlook reflects the business's re-baselining and improved visibility that it provides. We anticipate annual revenue growth in the low to mid-single-digits and expect defense adjusted segment operating income margin to increase to the 6% to 7% range with performance like civil weighted more towards the second half of the year. With that I thank you for your attention and we're now ready to answer your questions.
Andrew Arnovitz: Thank you, Marc. Operator, we'd now like to open the line to members of the financial community.
Operator: Certainly. [Operator Instructions] Our first question is from Kevin Chiang with CIBC. Please go ahead.
Kevin Chiang: Thanks for taking my question and congrats, Marc, on your pending retirement here. Maybe just on defense, you called out 7% SOI margins excluding the legacy contracts. You have a target of eventually getting to double-digits here over time. Just how do you think about bridging that gap? Is that 10% of the backlog today or does this require continued restructuring and how you're bidding and what you're winning in order to ultimately get to that double-digit EBIT margin?
Marc Parent: Look, I think the factors that's going to drive the growth are the same ones that we've talked before. It's really and thanks for your comment, Kevin, by the way about me. I appreciate it. It really comes back to the retirement of the legacy contract risk and we're right on track on that one. And really replacing contracts in our backlog that are at -- that we won over the last few years and that are lesser margin than the 10% or so that we target and replacing them with contracts that have a higher margin. And that's really what's happening here. And I think you can see with the growth in the backlog that we're having quite a lot of good success on that front. I don't know, Dino, do you want to add anything to that?
Constantino Malatesta: Yeah, no, thanks, Marc, and good morning, Kevin. So absolutely I think what Marc said is absolutely bang on there. It's really based on continuing strong execution, right? And the team has planned in securing growth for those more transformative backlogs. An example is that $1.7 billion subcontract we awarded in Q2. The defense pipeline is still strong at $32.2 billion. We'll see the gradual increase over time in the next second half here. Q2 probably very similar to, sorry, Q3 is probably similar to Q2 with some improvement and then higher improvement on the fourth quarter.
Kevin Chiang: Okay, that's helpful. And maybe just my second one here. You're holding the margin guide for civil. I'm sure SIMCOM helps you in the back half of your fiscal year, but you also focussed on.
Andrew Arnovitz: Operator, are you still there?
Kevin Chiang: Can you hear me?
Operator: Yes, the operator is here and I can hear Mr. Chiang.
Andrew Arnovitz: I believe he's done with his question. Can we move on to the next question?
Operator: Certainly. Apologies, Mr. Chiang. The next question is from Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: Thank you very much and congratulations, Marc, on what an accomplishment over the last two decades or so. I'm going to steal the last question. So maybe if we could talk about the civil inflection that's underwritten for the second half. How do we think about that? What's driving some of that SIMCOM flight operations software profitability and cost out? Maybe if you could comment on some of the drivers into the second half and then my follow-up would be on just the GTF grounding. Has that shifted over the last three months?
Marc Parent: Thanks, Sheila. And again thanks for your comments as well. Look, when we look at things, let's think about all the factors that are affecting us here. I think in commercial aviation training, I mean, you highlighted the issues that are affecting us. It's still affecting us. The lower deliveries at a Boeing exacerbated by the strike, of course, that's resolved now. The impacts from all the grounded aircraft at the Airbus aircraft because of the GTF and that's come off the peak itself. We are cooling off this last summer really was very hot pilot hiring trend in the United States. So look, I mean, as we look at the period ahead and what underlies our forecast is that as I mentioned the impact from the Airbus impact of the GTF on Airbus grounding is improving. PECO AOGs are behind us. We see some modest, I'd say modest, but definitely uptick towards more normal pilot hiring by US Airlines. We do expect an improvement at some point in Boeing deliveries. Although I would say like anybody else that remains probably our biggest question mark, something that we're watching. So but we see taking all of that into account specifically for airlines, what we see is improvements in the bookings in Q3, Q4. So there's clearly some pluses and minus in the outlook and we've taken control of our own destiny with that in basically managing our costs. And of course we see the strong position that we have in business aviation training, the contribution of SIMCOM with that. The fact that coming back to Airlines as well, I think we tend to look at the US a lot. But I can tell you activity in Asia-Pacific is very strong. So I think all of that is what's contributing to optimism. Well, maybe just, Nick, would you like to add anything to that to Sheila's question?
Nick Leontidis: Yeah, I mean, I guess from a utilization, we expect training -- the training business, meaning commercial and business to be much higher in the second half and historically Q4 is our biggest quarter and looks like it's going to be the same this quarter. We are going to get contribution from SIMCOM that we didn't -- that comes with the acquisition. And we're also going to see better contribution by flight services. So you put all that together and these are kind of higher margin components. You put all this together gives us the confidence that the whatever outlook we've given you 22%, 23% we're going to be able to hold it.
Operator: The next question is from Fadi Chamoun with BMO Capital Markets. Please go ahead.
Fadi Chamoun: Yeah, good morning, and congratulations, Marc, on your retirement. Is the full flight simulator delivery target still in the 50 range this year or has that changed? And I wanted to ask also like if you can give us some perspective on kind of the supply chain issues in aviation like if the aircraft deliveries from Boeing in particular, but generally Airbus and Boeing kind of struggle to get off the ground in the next six to 12 months because of the supply issues like can we potentially start seeing some of these issues that you're experiencing in the US now spread over to other region? Is there potential risk for some delivery deferrals? I'm just trying to kind of understand from your conversation with customers what does this look like. Are they kind of starting to get nervous about potentially aircraft deferrals driving some deferrals on the FFS delivery side or just looking over the next kind of two to four quarters, if you can provide some perspective on that, that would be great?
Marc Parent: Okay, thanks, again, Fadi, for your comments with regards to myself and it's been a pleasure working with you throughout the years and I look forward to the next two or three quarters to do that. I think going back to some of your questions, start with the first one. Yes, we're still aiming for over 50 deliveries this year that hasn't changed and we don't expect that to change either. Look, I think the factors you talked about, look, we're obviously not immune to what may happen in the market clearly in terms of delivery of aircraft. But when I look at the situation I talked about with the groundings, we're off to peak because of the issues with regard to the engines. The strike at Boeing is resolved and I'm sure they're doing their utmost to get deliveries restarted safely. And then Boeing is a great company. That's going to happen. So and we've taken, I think a pretty sanguine view of how that all would play out. And in the meantime, what you see is on our side is managing our cost, managing our CapEx to stay in lockstep of demand. With regards to sentiment out there, look, again, we're a global company. So when I look at the situation and utilization in Asia-Pacific very high and that's still with a situation that specifically if I look at geographies like China there really hasn't been a recovery into international travel. Very big on domestic but not international. Still a play there. But again, I don't know, maybe Nick, you want to provide more color based on what you see out there?
Nick Leontidis: Well, yeah, I mean, I think, the opportunities for us right now are especially in full flight simulators. As Marc said, the deliveries, we don't see any softness. We don't see like we don't see people backing off from what they've ordered. I think in terms of the numbers, we'll see by the end of the year, but we are winning business from places like Asia right now -- these days more than we did in the last couple of years where they were kind of coming out of it. So China Marc mentioned, we did see some orders out of China. And I think the overall, I don't, I mean, at least for now, we don't see any change. Now the deliveries that you mentioned, I mean, they're low but they're not that -- they're actually not that different to last year. So, it's on both sides, Airbus and Boeing, so they are lower for sure, but they're actually very similar to what was delivered last year. So there are still opportunities for us, new simulators drive capacity needs and that drives either the training business or the products business to demand. And so we're capturing it wherever it is geographically.
Marc Parent: Maybe just add a last point, Fadi, remark. These factors, they're clearly temporary. As I was saying in my remarks, there's a backlog of 15,000 airplanes that Airbus and Boeing have to deliver over the next year. That's a lot of pilot demand across the world. That's done and compound that with pilot hiring. You want to think about where that growth is going to come from? Just look at it. Just one factor. You think about India. We do a lot of business in India. We're very strong there. And there's about in terms of just wide body aircraft for a population of what is about 1.3 billion people, there's about 60 wide body aircraft in India. In Singapore alone, there's about, I think about 250. Think about that. I mean, clearly, the ratio won't be perfect, but that should tell you how much growth is remaining in just one country or with one that doesn't have a lot of competing infrastructure that basically competes with airlines. So I mean that gives you an idea where all those airplanes are going to go to. And they've been spoken for, they're going to be delivered. So make no mistake, this is a temporary, temporary situation we see here. We're quite convinced of that.
Fadi Chamoun: I appreciate it. Thank you.
Operator: The next question is from James McGarragle with RBC Capital Markets. Please go ahead.
James McGarragle: Hi. Good morning and congrats on a really good quarter. So I just had a question on the book-to-bill, came in above one this quarter, but below what we've been seeing from your team in the past few quarters. And then we saw the CapEx guide come down. So anything to read into there and anything change about how you're looking at the longer-term growth opportunity in civil or just more of the impact of near-term headwinds from OEM delays and pilot hiring in the Americas?
Marc Parent: Actually, the way we look at it, the civil book-to-bill ratio is still comfortably above one. The strong growth and of course you got to look at it on that growth is on top of quite a rise in revenue. So that tells you that market is still pretty hot. But Nick, do you want to comment on it?
Nick Leontidis: Yeah, I don't think there's anything to read into it. It's about one, as Marc said, revenue, revenue is $640 million. So it's a high number compared to last year which is about $68 million lower. So I think the -- we get the opportunities book-to-bill above one. So you should take that as growth. Maybe on the CapEx side, effectively we have changed the guidance to specify that we expect CapEx into FY'25 to be slightly below the previous guided range of $50 million to $100 million more than FY'24. FY'24's number was $330 million. But again this is an example of our agility in our investment process and to move lockstep with the market as we don't deploy simulators on speculation. Our highest returns we get are from organic investments. The track record is delivering 20% to 30% range incremental pre-tax ROCE on organic growth. So we continue to monitor the market situation but we never want to be ahead of our customers. So discipline is key.
James McGarragle: Okay. Appreciate the color. And then on the defense margin guide, it applies continued improvement as you mentioned in Q3 and then into Q4. So can you just provide some more color on what's driving that? Is there seasonality in the defense business at all? I'm just trying to get a better understanding of the margin exit rate and whether or not that represents a good run rate to use for fiscal 2026? I'll turn the line over after that. Thank you.
Marc Parent: Well, I mean, we're not going to get into fiscal '26 right at this point except to say that it's got to be right in line in the guidance that we've previously given that we were definitely reiterating, feel very confident about the guidance we gave in regards to margins and growth for defense this year. And I mean where that's coming from where that's going maybe Nick will.
Nick Leontidis: Well, it's coming from both sides, as I think we described at the beginning of the year, the cost savings are definitely running through the P&L now. And obviously we expect that to continue to some of these cost savings will only be realized by the end of the year. So it's good so far. And also, of course, the execution and the order. So there is new business like FAcT, for example, which is only getting started now. And this new business is going to drive growth in the, well, not just the backlog, but obviously on the P&L. So FAcT is a big program. It's going to, as an example, we've announced a number of other programs recently in Canada in particular and we've also announced some program wins in the US. In terms of, it's just better execution, I think, is the way you should read it. And that comes with cost savings but also comes with winning good orders. So I would say we know, obviously, we don't have, we've given you this guidance. We have the visibility to get us there and you should take it to the bank.
Operator: The next question is from Matthew Lee with Canaccord. Please go ahead.
Matthew Lee: Hey, good morning, guys. Thanks for taking my questions and I'll echo the sentiment, Marc. On the SIMCOM stake acquisition, you kind of mentioned in the past that consolidating JV partners is an important avenue of organic investment for you. Do you see other opportunities stable partners to make further transactions of that nature in the medium term or is this one a bit more attractive right now, just given how well bizjet is performing?
Marc Parent: Well, I'll reiterate what I've said about this transaction. I'm very excited about it. I was very excited about getting into a joint venture with our partner in that business in the first place. But to me when you look at things like this, acquisitions happen when they happen, right? And this one is kind of, I mean, not really an acquisition, it's an organic investment because we're just basically consolidating the remaining -- the large part of the remaining ownership of that business. So, look, if there's more, I've always said it. If there's more opportunities to consolidate our joint ventures, I mean, those are kinds of transactions, if you like, that are most attractive because we know the business, obviously, and we're very strong positioned to be able to execute on them because we know them and obviously they're in the wheelhouse. This particular one is a really, really great example of basically getting a partner that is a extremely strong player to fractional and charter market. It really doesn't get any better in the most profitable part of our civil business such as business aircraft.
Nick Leontidis: Yeah. And then maybe if I can add to that effectively, I think, this is considering normal course capital deployment evaluation, right, like we do when we consider deployments, the network investments in JVs, consolidation opportunities for the network. So, again, very excited about the opportunity with SIMCOM. It is our highest margin subsegment and it does secure upside with a key customer. It's an extension of 15 years exclusivity period with Flexjet. So really excited. After the first year, I think we can expect maybe low single-digit EPS accretion and mid-digit EBITDA and free cash flow accretion that strikes now.
Matthew Lee: Okay, that's helpful. And then maybe one of the cost side. The restructuring program seems to expected to take about $20 million off the cost base and that's great. Are there any other low-hanging fruit on the OpEx side where costs come out from other areas that could perhaps be a little bit more efficient?
Nick Leontidis: So again that's our disciplined approach to managing capital and costs. I think we are looking at various opportunities. One of the examples is managing CapEx, right, where we reduce the guidance this year and to be in lockstep with the market. We'll do that as well. With all the other types of investment opportunities in research and development and our overall SG&A, you see SG&A actually being a little bit lower this quarter compared to last year and in previous quarters. And that is again a reflection of our cost savings kicking in. Always looking for efficiencies. It's a part of our disciplined approach to how we spend our money.
Operator: The next question is from Cameron Doerksen with National Bank Financial. Please go ahead.
Cameron Doerksen: Yeah, thank you. Good morning and let me echo congratulations to Marc on your retirement. I guess a question around the new US incoming administration. I just wonder, if you can maybe discuss some of the risks that you might see and potentially even opportunities with the change in government in the US? I guess one of the things that is top of mind with a lot of investors is around the impact from tariffs. And obviously, aerospace products has historically been exempt from most of those tariffs. But now we've got a incoming President talking about a 10% blanket tariff on anything important to the US. So I'm just wondering about how you see that risk for CAE and potentially if there's other risks or opportunities that you see.
Marc Parent: Well, I'm sure you'll pardon me if I don't speculate on the situation, but obviously, we're going to monitor it. We're certainly not forecasting any kind of significant impact for CAE. Remember, we have a very strong presence in the United States. Just to give you an idea of that, of a statistic I've talked about in the past, if you look at just pilot training, military pilot training, we train all 43,000 aircrew in the US military at some point in their career. All branches Army, Air Force, Marines, Navy, and 50% of our employees are there. It's our largest market. So look, we play, just going back to what I'm saying about the military. We play a vital role in supporting national security. I mean just from that standpoint in terms of the overall markets, I think you've seen the reaction to the market. I think overall market, I think, it's good in some segments that we have like in business aircraft. I think it's a positive definitely. So look, I think we're going to continue to monitor the situation, but I don't really see any changes near or longer term at the moment. Of course, we'll keep monitoring the situation.
Cameron Doerksen: Okay, that's fair enough. And just very quickly, just on the defense side, I just wanted to ask if you'd had any, I guess incremental success in accelerating the retirement of some of the legacy contracts. I know that was something that was a goal to maybe get these completed earlier than what's currently scheduled?
Marc Parent: Well, look, I'm glad you asked the question and I'm very happy about the progress that we're making there. We retired one, well, there's another one that's a big one that we're retiring literally any day now. Literally and we're on pace. Exactly we want to be in fact maybe slightly ahead. And Nick do you want to add more details?
Nick Leontidis: Yeah, I was going to say overall, I think, we're on track to where we want to be with these programs. I think we're over the hump in terms of trying to ring-fence them to a scope that is manageable and we will obviously if there's any change, we'll let everybody know. But right now the guidance we've given on when these programs are going to retire are good and the budgets that we have to retire them are also good. So I think we just going to run through if obviously if we can retire them early, we will, but I mean that's not the plan at the moment.
Marc Parent: Yeah, I think the key takeaway there is good progress to retire their Legacy Contracts as planned, as anticipated, one this quarter, one expected next quarter, and one in Q4. We're aiming to outperform on that if we can to retire more risks, but it's unplanned as tracked.
Operator: The next question is from Tim James with TD Cowen. Please go ahead.
Tim James: Thanks very much and good morning, Marc, congratulations on the retirement. Certainly well deserved. My first question just in terms of growth in the network SEU growth, would it be correct to assume that it's really focused in the kind of short to medium term on business jet platforms just given the dynamics in the commercial market currently?
Marc Parent: Maybe turn it over to Nick.
Nick Leontidis: Yeah, no, actually it's both. I mean, we have a demand to deploy capacity on the commercial side and on the business side as well. When you take the CapEx number that we've given you guidance, the number of simulators that we're deploying is roughly the same as what you would have seen last year. And we have customers, we have customers that continue to grow and we have new customers. And so between the two, we are still deploying SIMS on the commercial side.
Tim James: Okay, thank you. And my follow-up question, have the challenges facing commercial training just really been creating a volume impact, a throughput impact or has there been a pricing impact there as well in that business?
Nick Leontidis: No, it's just volume. I mean most of the customers that we have in terms of pricing, I mean these things are set in the contract. So it's really just some lower volume in some places that drives the pressure.
Tim James: Okay, great. Thank you very much.
Operator: The next question is from Ron Epstein with Bank of America. Please go ahead.
Jordan Lyonnais: Hey, good morning, this is Jordan Lyonnais on for Ron. Thanks for taking the question. For the back half of the year for the civil margins, how much of that should we be expecting to come through from just software sales similar to 4Q of last year?
Marc Parent: You're hard to commit, but I think we got the question.
Nick Leontidis: Yeah, I think, the question is where we learned. The percentage of software sales. So again, we completed the integration of that software business and that's important on a go-forward basis, we won't be expecting any additional costs there. We are still converting and going through the process to converting those contracts onto our platforms. It's a small percentage going forward in the second half.
Jordan Lyonnais: Got it. Thank you.
Operator: The next question is from Noah Poponak with Goldman Sachs. Please go ahead.
Noah Poponak: Hey, good morning, everyone.
Marc Parent: Hi, Noah.
Noah Poponak: Hey, Marc. I echo the sentiments of others on the call and thanks for the time that you spent with us over the years.
Marc Parent: Thank you.
Noah Poponak: Can you guys talk about this defense backlog growth you've had and how we should think about that flowing through your top line? I mean it's huge growth in the backlog. Are the things going in so long duration that you stay in this low to mid-single-digit organic revenue growth range or could we see over the medium term a pretty significant acceleration in your growth rate that you'd often see with a doubling of a backlog?
Marc Parent: Too early to provide longer-term growth that we've given that. I wouldn't want to change it at this point except the only thing I'll say it really depends a lot on mix. And I think your question, I think underlies that, Noah, because if you look at some of the contracts we've won and I'll invite Nick to provide a little bit more detail here. But for example some of the big backlog growth, not all of it, but some of the big backlog growth you see is for example from the FAcT contract in Canada. So what that is really reiterating a bit of what I said before is us winning pilot training for Canadian military for the next 25 years. So a lot of that backlog is us delivering training for the Canadian Air Force to train our pilots and Canadian, not just pilots but electronic warfare officers, that kind of thing. Complete outsourcing of that segment for the next 25 years. And we already do some of that today by the way. So some of that is income replacement. But it's just a part of it and I would say a relatively small part of it because the contract itself, it's much larger. So instead of doing just a part of the training today, we do like the complete part of training, and its scope has expanded. So that's the training part. But again to your question, over the next three years to four years on that contract alone, we're going to, the government's recapitalizing all of its assets, which means we will be building a lot of simulators and simulator train devices in our factories and that has a different profitability mix. We're going to be building new hangars, runways, all kinds of things on bases which has different margin profile. So again, I've said a lot here, but too early to provide different guidance. It's going to be but it does give us the confidence in a steady growth for this business. I know I've said quite too much. Nick, do you want to add anything to that?
Nick Leontidis: No, that's it. The way to look at that contract, the first five years is product delivery and then the next 20 years is service delivery unless the government does more. So I think Marc said it well that's going to ramp up. It's going to ramp up the revenue on that contract over the next few years.
Marc Parent: Yeah, and I think we concentrate a lot on that contract, but, you know, there's I mean just we don't spell them out in so much detail, but like just in the backlog this quarter, we had some significant F16 contracts in the Asia-Pacific, MH60 helicopter training contract in India. We're starting our Haiti's program for the US Army Global Express. So look, I'm not going to over-promise anything and then, we know better in our defense. Okay. But you know when Nick said taking to the bank I like him saying that.
Noah Poponak: Okay. And just on the civil margin for the rest of the year, is there any finer point you'd be willing to or could put on the split between the third and fourth quarter? Just if 3Q looks like last year then 4Q would need to be around 30%. Is the split similar to last year or is it more like fiscal '23 when 3Q, 4Q were fairly even?
Nick Leontidis: Yeah, usually our Q4 is strong. Yes, the second half is always stronger than the first, absolutely. But this year Q4 is stronger with more deliveries coming in in that back half. And our cost savings kicking in as the year progresses. We're expecting the $20 million annual savings at the end of next year and training performance as well. We see the bookings also variability in every quarter. But we expect the Q4 to be stronger, a bit higher than 20% in Q3 and then the rest in Q4 higher.
Operator: The next question is from Michael Kypreos with Desjardins Capital Markets. Please go ahead.
Michael Kypreos: Good morning and congratulations, Marc, on the pending retirement. Maybe just a question on the CEO search. The press release states that you will be supporting the process. Marc, can you maybe provide some details on what type of characteristics, attributes, experience you're looking for in a potential candidate and also maybe clarify if this process will be combined with the ongoing CFO search process or on a separate basis?
Marc Parent: Well, just on that one, it's two separate issues altogether. And for that one, we're concerning internal and external candidates as well and Constantino is doing a fantastic job here in the internal. With regards to the CEO search, yes, I am participating with the Board on that. I'm going to support it. And my focus within the Board is to make sure that we select the right person, man or woman, that's going to just propel this great company to the next to the next level. And I don't want to get into the characteristics of what kind of person that is. The net is cast wide across the globe and we will get the best person. And I think it's surely to provide any more guidance relative to that, except that the process is well in the way and I've been part of quite a few meetings on that subject.
Michael Kypreos: Appreciate it, Marc.
Andrew Arnovitz: Thank you, operator. I think that's all the time we have for the call. I think we landed at just shy of 9 A.M. I want to thank all participants for joining us this morning and remind you that a transcript of the call will shortly be available on CAE's website. Thank you and have a good day.